Operator: Good day and welcome to the Enterprise Financial Services Corp. Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Peter Benoist. Please go ahead, sir.
Peter Benoist: Thank you very much and welcome to our second quarter call. We appreciate all of you taking the time to listen in. I have joining me on the call today, Scott Goodman, the President of our bank and Keene Turner, our Chief Financial Officer. Before we begin, I would like to remind everybody on the call that a copy of the release and accompanying presentation can be found on our website. The presentation and earnings release were furnished on SEC Form 8-K earlier today. Please refer to Slide 2 of the presentation titled Forward-Looking Statement and our most recent 10-K and 10-Q for the reasons why actual results may vary from any forward-looking statements we make today. On a reported basis, fully diluted earnings per share were $0.61, representing another record quarter for the company. Earnings were up 13% linked quarter and 42% on a year-over-year basis. The quarter produced a 1.33% return on average assets and a 14% return on tangible common equity. Year-to-date, the company delivered a 1.27% return on average assets on a 14.3% return on tangible common equity. Tangible book value per share has increased 13% from the year ago period. More importantly, our core financial performance showed continued strong improvement in the quarter with core net income per diluted share of $0.49 versus $0.47 a share in the first quarter period and a 29% increase over the prior year. Core return on average assets and tangible common equity of 1.07% and 11.98% showed strong improvement over the prior year’s returns of 0.93% and 10.41%. The drivers of our performance continue to be first, strong but disciplined loan growth, up 13% year-over-year, with core portfolio yields having increased 3 basis points over the prior year period; second, strong core deposit growth of 15% year-over-year, excluding time deposits, with interest-bearing deposit cost declining 5 basis points over the same period; third, net interest income dollars increasing 15% compared with the prior year, which coupled with a modest 7% increase in core non-interest expense and continued strong asset quality metrics all combined to produce excellent results on both a linked quarter and a year-over-year basis. Additionally, we have continued to position the company for future growth from a management perspective, with the elevation of several highly successful individuals to key positions, including the heads of our specialty credit lines, a newly named Kansas City market President, the newly appointed head of our fee businesses, including wealth management, mortgage and our tax credit businesses, the appointment of a new Chief Credit Officer, and the realignment of our operations and risk management functions under our Chief Financial Officer. All of these changes, which have occurred over the last five months, are a testament to the managerial depth of our organization and our continued focus on management development and succession planning, which is key to the future success of any organization. As we turn the corner toward the second half of the year, our momentum remains strong. Our sales disciplines across all lines of business are showing strong success and our consultative sales model and focus on specialty lines of business continue to produce double-digit growth rates in loans, core deposits and treasury management revenues. The board authorized an additional $0.01 per common share increase in the company’s quarterly dividend to $0.11 per common share. This is the sixth consecutive quarterly increase evidencing the board’s continuing confidence in the overall performance of EFSC. I am now going to turn the mic over to Scott Goodman to give you more color and detail on our second quarter performance. Scott?
Scott Goodman: Thank you, Peter. Focusing your attention on Slide 4, you will see that our loan growth was 13% over the past 12 months. Net loans increased at a 7% annual rate in the second quarter. Growth for the first half of 2016 is on track largely due to the benefits we have experienced, further refinement to our sales process as well as leverage we have gained from streamlining certain parts of our loan origination process. Our already strong sales culture continues to improve. That said, as can be seen on Slide 5, aggregate C&I loan balances were stable in the quarter. We continue to exercise pricing discipline, which resulted in some pay downs. Additionally, owners in the EVL book continued to selectively benefit from favorable market conditions by selling portfolio companies. Nonetheless, we are ahead of our high expectations to start 2016 and we are increasingly optimistic as we approach the typically stronger growth quarters. Slide 7 shows portfolio growth by business unit. Our focus on the specialized lending area produced solid results, growing $202 million over the last year. EVL and life insurance premium had led the way in this unit, growing $82 million and $57 million, respectively. Life insurance premium finance posted strong net growth in the quarter, reflecting a good balance of new client opportunities combined with additional fundings of existing loans. Aircraft finance has also performed well, tracking with growth expectations and maintaining competitive yields. New originations in the quarter include both new clients as well as expansion of existing relationships acquired with our aviation specialists. Growth in EVL and tax credit lending were flat for the quarter, which is not unusual for this time of the year. Our St. Louis market continues to show steady growth. Though not our primary focus, we banked top tier commercial real estate developers and experienced nice growth from this area as well as from the financial services industry. Kansas City experienced strong growth in the quarter after some typical seasonality earlier in the year. Both CRE and C&I contributed to this growth. Our Arizona market has taken advantage of the continued rebounding academy, growing 26% over the last 12 months. Moving to Slide 8 deposits increased steadily, growing $96 million in the quarter. Additionally, we were able to maintain a relative proportion of DDA, which demonstrates the impact of our focus on both the C&I and business banking sectors for this deposit growth. As mentioned last quarter, we remain focused on elevating core funding as a priority within our sales process and have implemented a number of strategic initiatives to do so. Our core fee income businesses performed similarly to Q1. Deposit service charges grew 7% compared to Q1 due to the addition of new C&I clients over the last 12 months. Wealth management and mortgage continue to refocus under new leadership in both lines, producing results similar to the first quarter. Gains from tax credit sales experienced normal volume for this time of the year. Our view on competition on our markets has not changed. Competition is intense for quality C&I and CRE relationships. Larger regional players are using price as their differentiator. Our value-added model positions us well against our larger competitors, while our product capabilities position us well against similar sized or smaller competitors. We continue to focus on C&I predominantly and the specialized lending area has faced fewer direct competitors. However, we are working hard in these areas to stay ahead of pricing and structure trends in order to defend and grow these businesses. Now, I would like to turn the call over to Keene Turner.
Keene Turner: Thanks, Scott. We continued momentum not only on our balance sheet, but especially for our financial performance. Our second quarter results definitely reflect continued success and focus in all of our priorities as we’ve delivered yet another strong quarter. If we turn to Slide 9 and dive a little bit deeper into what Peter said, reported earnings per share was $0.61 for the second quarter. $0.49 of that was core. Purchased credit impaired loans contributed $0.14 per share and we had $0.02 of non-core non-interest expense. I would like to just point out briefly that the PCI results were principally economic as they resulted from actual cash collections from recoveries and early repayments relative to the valuation of those assets. I will also just say that briefly we think our termination of lost share in the fourth quarter was well-timed and has paid very, very strong dividends thus far in 2016. We will turn ahead to Slide 10 and look at the linked quarter trend for core EPS, which expanded from the prior quarter due to growth in net interest income, and again, was $0.49 a share of core. The return on average assets was 1.07% and that’s our fourth consecutive quarter above a 1% core of return on average assets. Also, core return on tangible common equity was above 12%, both in the quarter and year-to-date and reflects the culmination of both of our capital management efforts for organic growth and for our returns on average assets. Moving ahead to Slide 11, we have a five-quarter trend of core net interest income and margin. We delivered more than $30 million of core net interest income in the second quarter and that’s a 15% growth rate from the prior year. Our continued focus on growing revenue, primarily via net interest income and our other banking activities has been the primary driver of our expanded earnings power over a protracted period. I will just mention briefly and again, Scott covered this, fee income was stable in the quarter at $6.1 million. And typically, we have some seasonally higher tax credit sales in the first quarter. We found in the current quarter that also our tax credit allocation business was strong and made up some of the difference. And again, we are happy with the lack of change here. And we think it’s worth noting and we are continuing to focus on strengthening all of our key businesses. Scott hit the highlights of balance trends for both loans and deposits in his comments, but I will give you some additional flavor for the net interest margin trends. We had a 2 basis points decline from 3.54% in the quarter to 3.52% for the second quarter. Although we had a decline, the underlying fundamentals in net interest margin and net interest income are very, very strong. The yield on portfolio loans expanded again and it’s 4.20%. And we continue to fund the balance sheet well with deposits, namely DDA. The most significant driver of net interest margin in the quarter was the rapid reduction of PCI loan balances that’s on the purchase credit impaired loans. And we – that was 3 basis points of pressure. And then also we had some accelerated amortization, which was another basis point of reduction in the quarter. Turning back to originated activities, our mix of funding and deposits remains favorable for our asset profile and we continue to efficiently fund the balance sheet in support of our growth. We consider our asset liability management efforts to be successful, both over the shorter and the longer term and particularly because we continue to be focused and successful like growing net interest income dollars above all. Our outlook going forward is generally for stable core net interest margin and we are confident that we will continue to drive growth in core net interest income dollars as we execute on our plan. The balance sheet interest rate risk profile stays at a modest – stays modestly asset sensitive and our variable rate loans were just up a little bit, 64% of the total. And the loan to deposit ratio trended down slightly to 97%. We are acutely focused on core deposit gathering, maintaining strong liquidity in support of future growth and we have done both successfully and more confidently in recent periods. First half portfolio loan growth is tracking right at 10% and we will reaffirm our outlook for loan growth for the year at or above that 10% mark. Turning to Slide 12, we will talk a little bit about credit trends, which continue to be favorable and support our current and ongoing profitability. We experienced net recoveries in the second quarter of 6 basis points. But there was a slight up-tick in non-performing and classified loans. So when we combine all of that, the provision was at – stable at $700,000 in the quarter and it actually drove the allowance to portfolio loans up a couple of basis points to 1.23%. Coverages of the allowance to non-performing assets and loans are still strong and we always remain vigilant with credit quality as it’s the number one driver of our core profitability. Slide 13 delineates a five-quarter trend of core operating expenses, which totaled $20.4 million again for the current quarter. We had some variability in other expenses, which offset the seasonal decrease in employer payroll taxes from the first quarter. Overall, expense management has been strong at Enterprise. And again, as a reiteration from last quarter, we continue to invest in strong support of sustained revenue growth. Core efficiency as a result improved to 56% for the quarter and we expect to consider – continue similar trends throughout 2016. However, given our recent investments in personnel, we have adjusted our expense target modestly, up $0.5 million to be between $19.5 million and $21.5 million on a quarterly basis for the rest of the year. On Slide 14, we take a look at our financial scorecard, which we look back a year from the current period. In that comparison, we have grown core EPS by 29%, with 15% growth in net interest income through continued portfolio loan growth, net interest margin defense and stellar asset quality. We funded the balance sheet successfully with strong deposit growth, maintaining a high proportion of DDA and improving the cost of our funding by 4 basis points. And additionally, our expense discipline has helped translate our success in the core EPS growth with core efficiency around the mid-50% range. Nonetheless, we are increasingly intent on driving further growth in earnings and returns. We believe we are well positioned to continue to drive growth in core EPS and translate it to continued value for shareholders. You take a look at Slide 15, it’s a little bit longer view than we normally have and it demonstrates our continued progress in growing core earnings power. Over the last 2 years, we have expanded core EPS by more than 25% annually and we have demonstrated strong and stable increase in core earnings and again, $0.49 a share for the current quarter. We believe that at Enterprise, we have superior people and a strong business model and that’s really driven our results and we are intend on translating both to increasing value for our shareholders. That concludes our prepared remarks and we will open up for any questions that you might have.
Operator: [Operator Instructions] And we will go to Jeff Rulis first with D.A. Davidson.
Jeff Rulis: Thanks. Good afternoon.
Peter Benoist: Hi Jeff.
Jeff Rulis: The up-tick in non-performing loans, you talked about three separate – I guess could you break out kind of what loan types those were or any other color on those relationships?
Scott Goodman: I can take that one, Jeff. This is Scott. On the non-performers, there are two rather small, one probably made up the bulk of the non-performer and that was really related to one low income, multi-family credit which we have been working through our process for some time now. We feel it’s adequately valued and well reserved. Overall, we don’t see anything that we are concerned about from an overarching credit standpoint or any trends or aggregate portfolio issues that we are concerned about.
Jeff Rulis: Got it. And Scott while I have you, on the – I guess just interested in the C&I bucket and you seem to allude to more pricing competition led to perhaps some modest net runoff, I guess if you could expand on sort of the confidence going forward, how that – how you think that bucket refills and maybe the competition that is out there, who is it that you are actually competing against?
Scott Goodman: Yes. I think overall, the overall C&I category, I feel very good about, because that encompasses a lot of our specialty businesses. I think we find more competition with larger, mid-market, what I call general C&I kind of straight down the fairway C&I deals. We tend to see the larger regionals coming to play there. And as I said, they are pricing aggressively. We are seeing sub-L plus 200 rates now. And given our ability to generate other C&I assets with better yields and better profiles, we have backed away from it. Typically, the third and fourth quarters are strongest due to some of the seasonality in the specialty businesses. So the short-term downtrend for this quarter in general C&I is not a concern to me.
Jeff Rulis: Got it. Okay. And then maybe one last one on the – just on the provisioning, looking just at the overall reserve, maybe reserve to loans isn’t a great metric internally, but I guess externally, is there a guide that kind of – is there some resistance below $120 million, if you could maybe talk about the reserving going forward?
Scott Goodman: Yes, I can’t really give you any metrics there. I mean it’s made up more of factors as it relates to non-performers and loan rating. So there no hard and fast rule I guess I would say. Empirically, when you look at it, we have had material improvements in already strong asset quality and yet we have continued to maintain a relatively nice sized reserve there. And this quarter, even built it a little bit. So I would tell you that we try to be prudent with it and we are continuing to try to make sure that asset quality stays at where it is or improves to the extent possible so that we can continue to drive profitability. But overall, I can’t really give you any guidance there.
Jeff Rulis: Fair enough. Thanks guys.
Peter Benoist: Thanks Jeff.
Operator: We will go next to Michael Perito with KBW.
Michael Perito: Hi, good afternoon.
Peter Benoist: Hi Mike.
Michael Perito: Maybe a question starting on the comments in the prepared remarks about targeting the strong deposit growth and you guys have seen some good stuff there and if I look back to last year, there was a pretty big inflow of deposits in the third quarter and you guys were running with some higher cash, it looked like for the back half of the year. I guess, was that – can you remind us if that was seasonally driven and it’s something you expect to repeat again this year? And if so, how you guys are thinking about kind of cash and deploying cash in the securities with the rate curve where it is?
Keene Turner: Right. I guess, I will say and then Scott can maybe comment on the specific businesses, but we do think that we are at our seasonal low that tends to be a point where our customers begin to individually build cash positions toward the end of the year. From a deployment standpoint, I guess I would say that we are seeing some less than desirable rates for where we typically put our funds. And so ideally, we would obviously use that growth to fund the loans, but we have kept the investment portfolio or the investment portfolio plus cash at where we think is a relative in proportion to preserve our liquidity measures. So, that would be I would say the number one thing that concerns me from a margin perspective. But I would also point back to my comments where we have strong underlying fundamentals with core deposit gathering and stabilized portfolio loan yields. So, that will probably mitigate any success we would have had with expanding margin, but we still feel very good about growing net interest income and keeping margin in a relatively tight bandwidth.
Michael Perito: Okay, that’s helpful. And I guess maybe just asking in a more kind of like varying scenario, the growth was good this quarter, but it was a little weaker than it was in the first quarter, kind of just a follow-up, but I guess, it sounds like would you guys be more willing to just kind of hold cash and stay short in this scenario where maybe there was some excess liquidity outside of what you can deploy into loans or would you be confident that you could find some securities worth purchasing in the current environment?
Keene Turner: I think what our philosophy has been, Mike, over the last couple of years is we have attempted to at least not aggressively put cash to work when we think that maybe there are short-term implications in the market, but that also has interest rate risk considerations to it as well. So, to the extent that we believe that the current reinvestment environment is here to stay for a period of time, we will have really no choice but to put money back to work. That being said, I think we are there with you. Our extremely low rates and the 10-year $150 million and below is relatively short-term phenomenon. So, we haven’t rushed to put money into the market and we would be a little bit more patient than normal. Hopefully, that gives you some color. In contrast, if we build liquidity in certain quarters and we think reinvestment rates are good, we will pre-buy for what we think is cash flow runoff and future growth. So, that’s about as much color as I can give you when it comes to our philosophy. And at the end of the day, there is only so long we can sit on cash before we need to put it into investment portfolio.
Peter Benoist: Mike, this is Peter. I would just add to what I think Scott alluded to. Generally speaking, we see solid loan demand in the second half of the year, particularly in our niche businesses and we certainly expect that to occur again this year. So, I think from that perspective, we have some pretty good confidence as it relates to redeployment in terms of the loan portfolio.
Michael Perito: Okay. Yes, that’s fair. I know this was more of kind of a worst case scenario type question just as curious, but that color was helpful. Thank you. Maybe one last one from me, just on the growth in the service charges this quarter, I am assuming it was driven by some of the continued initiatives you guys have on the treasury management side. I forget – can you remind us, do you guys track any of that internally in terms of like how much of your current commercial deposit – I mean, client base is using your treasury management just in trying to gauge kind of how far along you are in kind of this growth effort here?
Keene Turner: We do what we found on the last several years is that we have a relatively strong penetration of treasury management clients for those who, I will say, are good candidates for treasury management. And when you look at what we have done on the deposit service charges and specifically drilling down into the treasury management, it’s trended very consistently at that 10% level with the growth in portfolio loans. So, we are getting our fair share of TM out of the relationships. And again, not everything that walks in the door is a strong candidate for TM or necessarily carries a proportionate amount of fees, but overall, we do believe that we are getting the right amount of penetration and that our new onboardings are tracking well with our historical performance. And I also would say that I don’t think that our metrics would indicate that we are leaving – there is a lot of clients where we are leaving money on the table and not getting their TM business.
Michael Perito: So I mean, it sounds like without holding you to a number, there is room for to continue to grow as loans grow maybe not 10% for 10%, but certainly at a higher clip than fees overall?
Keene Turner: I think we would expect – that’s fair. We would expect that line item to the extent it’s mostly treasury management fees to continue to trend strongly with the growth in our loan portfolio and probably more specifically, I will say, non-life insurance premium finance C&I loans.
Michael Perito: Okay, alright guys. Thanks for the color. I appreciate it.
Keene Turner: Thanks Mike.
Operator: We will go next to Andrew Liesch with Sandler O’Neill and Partners.
Andrew Liesch: Hey, guys.
Keene Turner: Hey, Andrew.
Andrew Liesch: You have basically covered all my questions except for one just curious and it doesn’t sound like it’s really all that concerning, but need to ask anyway. Just general rising trend in classified assets over the last few quarters, just curious what’s been driving that?
Scott Goodman: Well, I have mentioned the – this is Scott, Andrew, on the non-performers it was really that one that classifies. I think again, when you are operating from a low base, the percentage increase looks probably a little worse than it is, where two of the credits that were added on the classified side, one – both C&I credits. One was a manufacturer distributor, which is under really an ABL type structure. The other was participation – club deal with the service business. So, we know the CEO well, not related businesses. Again, I don’t think we see any trends there that are alarming necessarily from any of those sectors or any of those credits.
Andrew Liesch: Alright, thanks. That’s the only question I have left.
Operator: [Operator Instructions] We will take our next question from Peyton Green with Piper Jaffray.
Peyton Green: Yes, good afternoon. I was wondering maybe if you could comment a little bit, you were optimistic about the volume picking up in the second half of the year, but just curious maybe if you could maybe give a little bit of color on the pipeline that existed maybe at June 30 versus how it existed a quarter or two ago?
Scott Goodman: Pipeline looks good. I think generally we really developed a strong sales process over the last few years, where, I’ll call the top of the sales funnel. We are getting a lot more looks at deals. Part of that is we brought on a new CRM system. We have added additional talent. I think we have just become more prescriptive in our process. So, we are getting a lot of looks. The pipeline is consistent. I think the seasonality is more related to the specialty businesses, but I feel good about the deals that we are looking at. I feel good about the consistency feel good about the makeup of the pipeline.
Peyton Green: Okay. And then maybe just a follow-up, was production where you wanted it in the second quarter and just past pay-off some pay-downs were higher or was it just a normal seasonal drop?
Scott Goodman: Most of it is normal seasonality. I think production was consistent. I think the – some of the payoffs we had I mentioned and you can see in the general C&I category, really related to sales of businesses. The M&A markets are active. I think the EVL portfolio just naturally has grown. It has a little more churn to it. Usually the third and fourth quarters are more robust in the EVL business. So, some of those sales of businesses in that portfolio probably sticks out a little bit more in the second quarter than it would further on in the year.
Peyton Green: Okay, great. Thank you very much.
Scott Goodman: Thanks, Peyton.
Operator: We will go next to Brian Martin with FIG Partners.
Brian Martin: Hey, guys.
Peter Benoist: Hi, Brian.
Brian Martin: Just one thought you guys talked about the competition on the loan side as far as pricing at least for these regular C&I, I guess can you – is there – have you seen any of that on the deposit side? I mean, I know you guys are more focused on the deposit gathering and you have seen the funding cost down year-over-year, but just what’s the – I guess, what’s the temperature of the deposit market pricing today?
Scott Goodman: Yes, I think – this is Scott again. I think we are seeing a little more focus on it predominantly by the smaller banks. We are not usually competing head-to-head on consumer deposits with those smaller banks. So from a relationship basis, I think we are still happy where we see pricing going on the deposit side. I am not seeing anything crazy out there.
Brian Martin: Okay. So not really seeing any pickup at all like I guess is it fair to say?
Scott Goodman: I think banks are more focused on it. Certainly, we are seeing the ask on the deposit side along with the loan side when we are competing on a relationship. So I certainly think there is focus. I think the larger banks are more rationale still with their deposit pricing. Again, it’s mainly some of the smaller banks and its more time deposit pricing. I haven’t seen anything crazy on earnings credit for balances. We occasionally see the special on money market, but that kind of comes and goes. But I would say all banks that we, at least today have seen us compete against are focused on asking for the deposits.
Brian Martin: Okay, perfect. And just a couple of others, the classified Scott, I guess they were up this quarter, were those more regular C&I or just from the niche businesses or do you comment on that?
Scott Goodman: No, they are not. They are more the general C&I. The one deal was a manufacturer distributor. It’s under an ABL type structure. So I think we feel good about how we have got that structured and secured. The other was more of a service business. So no, they weren’t niche businesses.
Brian Martin: Okay, alright. And then just last two, in the fee income, you talked about the tax allocation fees and some of that switched this quarter, I guess is that type of growth, those fees, are those going to be somewhat lumpy, I guess is that how that works or I guess can you give any thought on just, it sounds like you are definitely diversifying and getting the benefit from that, but just how to think about those prospectively, maybe just over the next 12 months or whatnot, is it pretty stable, is it going to just come in, be a bit more lumpy?
Keene Turner: They typically are more lumpy, I think when you look at our level of fee income, you tend to look at it on an annual basis. And then we can kind of predict the tax credit brokerage business and the rest will be there at some quarter throughout the year and applying some level of growth to it. So they do vary by quarter. I think I was just in my comments, trying to point out that we do have a number of diversified businesses. We spent a lot of time talking about the seasonality of our tax credit brokerage and wanted to point out that our allocation business is also very strong and can deliver and make up for portions of that revenue on quarters when we expected to be seasonally lower. So we had that phenomenon last year in the second quarter and this year, again. And we will see how that trends out throughout the year.
Brian Martin: Okay, perfect, that’s helpful. Thanks Keene. And then just the – the last one, maybe I don’t know for Scott or for Peter, just kind of the temperature on M&A, I mean I think I know, you guys have communicated your strategy, but just starting with the dialogue and discussions, I guess has there been a pickup in activity in your sense or just – or how would you gauge that today?
Peter Benoist: I will just comment. Brian, we have spent a lot of time on that on the first quarter call. I would say really no significant shifts since the first quarter.
Brian Martin: Okay, that’s helpful. Thanks Peter. Maybe just a last thing, Peter you talked about in your remarks the – all the changes you have made to management, I mean I think you have effectively done without the management changes or significant changes or are there more that are still yet to be done?
Peter Benoist: Well, we are never done with management succession and development Brian, it’s a process. I think my point in alluding to it in the call was to tell you that we have a very intentional process. It’s a very effective process and includes every level of management, including the CEO. It’s an internally driven process and it’s governed by our Board. And in that context, I would say, no. We will hope that there will always be additional promotions and opportunities for folks at Enterprise to be more successful.
Brian Martin: Okay, got it, alright. Thank you.
Peter Benoist: Thanks Brian.
Operator: And we will go back to Michael Perito with KBW.
Michael Perito: Hi. Thanks guys. Just wanted to sneak in one more follow-up on the dividend, I know that the Board seems to address every quarter, so there is probably not a ton you can give us but just, any additional information that you could give us on kind of the thought process and maybe what drivers the Board considers when considering a dividend increase to help us maybe try and frame what increases we could expect in the future?
Keene Turner: Yes. So I guess I would say our posture with dividend increases is that it’s a way for us to manage capital given relatively thin trading in the stock and continuing to manage it in the context of growth. So we look at what level of capital we think we need to support growth and what the other realistic alternatives are. And I would say just in the context of Brian’s question at just over 9% tangible common equity and intangible assets, I think we are well positioned to capitalize on M&A and things like that. So the dividend increase is one, a reflection of our continued growth in earnings. And two, really just continue to manage the strong build that would have come if we had for example, kept a $0.0525 dividend starting six quarters ago. So it’s really a reflection of all those alternatives and we have a plan with respect to it and we continue to reevaluate it given where actual results come out and where we think the opportunities are. And any other opportunities to finance capital whether that’s weakness in the stock, which we hope doesn’t exist.
Michael Perito: Alright. Thanks guys.
Keene Turner: Thanks Mike.
Operator: And with no further questions in queue, I would like to turn the conference back to Mr. Benoist for any additional or closing remarks.
Peter Benoist: Great. Thanks very much. I would just like to thank all of you for your time this afternoon and your interest in the company. I think we hopefully have indicated we feel good about our momentum. I think the outlook for the second half looks very strong. So we look forward to our third quarter call and we will be talking to you then. Thanks. Thanks again for joining us.
Operator: This does conclude today’s conference. We thank you for your participation. You may now disconnect.